Operator: And good day, everyone, and welcome to CRA International, Inc.'s Fourth Quarter 2024 Conference Call. Please note that today's call is being recorded. The company's earnings release and prepared remarks from CRA's Chief Financial Officer are posted on the Investor Relations section of CRA's website at crai.com. With us today are CRA's President and Chief Executive Officer, Paul Maleh, Chief Financial Officer, Daniel Mahoney, and Chief Corporate Development Officer, Chad Holmes. At this time, I'd like to turn the conference over to Mr. Mahoney for opening remarks. Dan, please go ahead.
Daniel Mahoney: Thank you, Rob, and good morning, everyone. Please note that the statements made during this conference call, including guidance on future revenue and non-GAAP EBITDA margin, along with any other statements concerning the future business, operating results, or financial condition of CRA, including those statements using the terms expect, outlook, or similar terms, are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements due to many factors, including the level of demand for our services, as a result of changes in general and industry-specific economic conditions. Additional information regarding these factors is included in today's release and in CRA's periodic reports, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today's release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA measures presented on a constant currency basis. I will now turn it over to Paul for his report.
Paul Maleh: Thanks, Dan. Good morning, everyone. Thank you for joining us today. Revenue for fiscal 2024 increased by 10.2% to $687.4 million, marking CRA's seventh consecutive year of record annual revenue. Legal and regulatory services led this growth with a 12% increase year over year for fiscal 2024. Six practices grew their top lines with five—antitrust and competition economics, energy, financial economics, intellectual property, and risk investigations and analytics—delivering double-digit revenue growth relative to fiscal 2023. CRA also posted record profits for the year as net income, earnings per diluted share, and EBITDA each grew faster than revenue and at rates of more than 20% year over year. In the fourth quarter, our portfolio strength drove an increase in revenue of 9.2% compared with the fourth quarter of fiscal 2023, resulting in the best quarterly revenue in the company's history. Our North American and international operations both contributed to the quarter's revenue growth, increasing 7.8% and 15.7% respectively. For the fourth quarter, seven of CRA's eleven practices in energy, finance, and intellectual property delivered double-digit revenue growth relative to the fourth quarter of fiscal 2023. Continued growth of our sales pipeline supported this record Q4 revenue with conversion rates at customary levels. We drove expansion across both our project lead flow and new project originations, which increased 5.5% and 7.5% respectively relative to the fourth quarter of 2023. We ended the quarter with a consulting headcount of 946 and firm-wide utilization of 78% in the fourth quarter compared to 73% reported for Q4 last year. The strong utilization helped our top line expansion generate quarterly profits that grew at even faster rates with non-GAAP net income, earnings per diluted share, and EBITDA increasing year over year by 21.2%, 24.5%, and 28.4% respectively. I would now like to spend a few minutes highlighting the markets for our services and some of the projects delivered to our clients during the fourth quarter. Revenue in the fourth quarter from CRA's legal and regulatory services increased approximately 7%, which surpassed growth rates observed in the broader legal market. Total case filings in the fourth quarter were up 1% year over year while the number of total court judgments increased 2%. Within our legal regulatory services, the finance and intellectual property practices led the way, each delivering quarterly revenue growth of more than 20% year over year. In addition, our antitrust and competition economics, labor and employment, and risk investigations and analytic practices expanded revenue year over year. During the quarter, CRA's antitrust and competition economics practice worked on merger transactions across a range of industries and geographies. For example, CRA experts assisted Nova Holdings in its acquisition of Catalent, a contract development and manufacturing organization, as well as Novo Nordisk's subsequent acquisition of three Catalent manufacturing sites from Nova Holdings. The CRA team supported the transaction in both the United States and Europe, with the European Commission unconditionally clearing the transaction and finding that the proposed transaction would not hamper rivals' access to fill-finish processing capacity in the market, a critical end-stage manufacturing element within the pharmaceutical industry. Furthermore, CRA was retained by Waste Management Inc. to advise on a $7 billion acquisition of Stericycle, a leading provider of regulated medical waste compliance services and secure information destruction services. CRA provided economic assistance to Waste Management on the competition and regulatory compliance aspects of the acquisition, evaluating potential competitive concerns and effects of the acquisition in the United States and Canada. The U.S. Department of Justice declined to issue a second request, and the parties received approvals from the Canadian Competition Bureau. During the fourth quarter, our finance practice continued to be active in high-profile litigation and arbitration disputes, including matters involving tax controversies, criminal sentencing, securities litigation and disputes, and valuation matters. For example, a CRA expert testified in an arbitration involving a European midstream oil and gas company. Following the CRA expert's testimony, the panel of arbiters denied the claimant's demand for over $3 billion in damages. The practice advised on multiple high-stakes litigation matters covering a broad range of industries and legal forms. For example, in the artificial intelligence technology sector, a CRA expert was retained by a major technology company to evaluate the plaintiff's claimed damages stemming from the alleged copyright infringement and trade secret misappropriation related to three-dimensional digital models used for machine vision research. The CRA expert provided testimony related to reasonable royalties, avoided development costs, and the lack of harm to the plaintiff's business resulting from the alleged use. In another IP matter, two other CRA vice presidents provided expert reports and testimony on economic and damages issues in a multi-jurisdictional patent dispute between two leading consumer product companies. CRA's client, one of the top innovators in the home appliance sector, secured a favorable global settlement that was supported by the CRA expert's opinion provided in federal district court and to the International Trade Commission. During Q4, the labor and employment practice supported multiple experts who were retained to opine on a diverse set of labor issues. For example, a CRA expert opined in a class action complaint alleging multiple violations of California labor code. Through the analysis of terabytes of data reporting employees' behavior when recording their work time, the CRA team demonstrated that idiosyncratic variations in employees' timekeeping choices, including those of the named plaintiffs, made a class-wide analysis inappropriate. In addition to providing expert testimony, CRA's practice experts continue to be valued partners for clients in early-stage assessments and mediation assistance for both discrimination and wage and hour litigation matters. The risk investigations and analytics practice continues to focus on executing complex multidisciplinary, investigative, and analytic assignments. For example, during the fourth quarter, the practice performed in-depth due diligence on multiple bidders related to the anticipated sale of various assets by a large multinational corporation. The matter is ongoing and includes a detailed review of state and federal litigation with a focus on fraud, false claims, and personal injury matters. Additionally, with input from customers and employees, the CRA team is analyzing the financial status, regulatory filings, media, and social media relating to each bidder's management and operational effectiveness. Within our management consulting offering, the energy practice delivered strong performance during the quarter across a diverse range of services. The team collaborated with multiple electric utilities to support generational planning aimed at accommodating load growth from data centers. This work demands deep expertise in electricity market, energy policy, procurement strategies, and rate design. Additionally, the practice played a significant role in major energy transactions, such as supporting a prospective buyer of a large electric transmission portfolio in North America. In CRA's life sciences practice, we continue to expand our efforts with respect to early-stage assets, recently completing a nine-month project for a pharmaceutical company reviewing 22 therapeutic areas in nine countries to identify attractive opportunities for investments. The work on early-stage assets often leads to further work on clinical development strategy engagements, such as a recent project focused on European payers and key oncologists regarding the optimal regulatory label, pivotal trial expectations, and access potential for a novel product in the fight against cancer. Due to our experience working with pharmaceutical companies, we are often asked to provide expert testimony and opine on agreements in the industry, including a recent retention regarding the definition of product sales and associated deductions in a licensing dispute. Overall, I'm grateful to all of my colleagues for their hard work during the fourth quarter and throughout the year as we helped our clients address their most important challenges. Our fiscal 2024 financial performance demonstrates our success in the marketplace, and we are looking to continue our trend of broad-based profitable growth in the years ahead. For full-year fiscal 2025, on a constant currency basis relative to fiscal 2024, we expect revenue in the range of $715 million to $735 million and non-GAAP EBITDA margin in the range of 12.0% to 13.0%. While we're pleased with CRA's strong performance in 2024, we remain mindful that uncertain global macroeconomic, business, and political conditions can affect our business. With that, I will turn the call over to Chad and then to Dan for a few additional comments.
Chad Holmes: Thanks, Paul. Hello, everyone. I want to update you on our capital deployment during the quarter. CRA continues to generate strong cash flows, demonstrating the strength of our operations and the quality of our revenue. CRA's fiscal 2024 adjusted net cash flows from operations increased 13% year over year to $92.5 million. Stated another way, during fiscal 2024, CRA converted 102% of its non-GAAP EBITDA into adjusted net cash flows from operations. This strong performance matches the average conversion rate of EBITDA into net cash flows from operations delivered over the past three years. These cash flows represent a discretionary pool of capital used to fund reinvestment in the business and distributions to shareholders. We repaid $60 million of our net borrowing under our revolving line of credit to bring our year-end outstanding debt to zero, as we have done in prior years. Our cash balance increased during the quarter by $2.2 million to end the year at $26.7 million. The fourth quarter of 2024 also saw net cash outlays for talent investments of $4.6 million. We spent $10.6 million on capital expenditures, bringing our year-to-date total to $16.6 million. For fiscal 2025, we expect lower spending on capital expenditures in the range of $5 million to $6 million. We returned $3.4 million to our shareholders during the fourth quarter, consisting of dividend payments. For the full year, we returned a total of $45.6 million to our shareholders through a combination of share repurchases and quarterly dividends. This amount represents 49% of CRA's 2024 adjusted net cash flows from operations and is consistent with our ongoing aim of returning half of our adjusted cash flows from operations to shareholders. Since stating this aim at the beginning of fiscal 2021, we have returned to shareholders 53% of CRA's aggregate adjusted net cash flows from operations. Specifically, over this four-year period, we have returned a total of $178 million to our shareholders, consisting of $41 million of dividend payments and $137 million of share repurchases at an average price of $96 per share. As announced earlier today, CRA's Board of Directors authorized an expansion to our existing share repurchase program of $45 million. With this expansion, we now have approximately $58.1 million available under our share repurchase program. Taken together, our capital allocation decisions demonstrate continued confidence in CRA's long-term prospects as we look to invest in the business for profitable growth while at the same time returning substantive capital to our shareholders, all with the aim of maximizing CRA's long-term value per share. With that, I will turn the call over to Dan for a few final comments.
Daniel Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the fourth quarter of fiscal 2024. In terms of consultant headcount, we ended the year at 946, consisting of 151 officers, 552 other senior staff, and 243 junior staff. This represents a 5.8% decrease compared with the 1,004 consultant headcount reported at the end of fiscal 2023. Non-GAAP selling, general, and administrative expenses, excluding the 1.8% attributable to commissions to non-employee experts, was 15.9% of revenue for the fourth quarter of fiscal 2024, compared with 16.1% a year ago. For the full year fiscal 2024, the ratio was 16.1% compared with 16.2% for full year fiscal 2023. The effective tax rate for the fourth quarter of fiscal 2024 on a non-GAAP basis was 30.9% compared with 26.1% on a non-GAAP basis for the fourth quarter of fiscal 2023. The higher rate in the fourth quarter of 2024 was largely attributable to the impact of the remeasurement of our deferred current year deferred tax assets as a result of changes in tax laws and a decrease in the tax benefit related to share-based compensation. Turning to the balance sheet, DSO at the end of the fourth quarter was 100 and at the end of the third quarter of fiscal 2024. DSO in the fourth quarter consisted of 76 days of billed and 30 days of unbilled. We concluded the fourth quarter of fiscal 2024 with $26.7 million in cash and cash equivalents and a further $196 million of available capacity on our line of credit for total liquidity of $222.7 million. That concludes our prepared remarks. We will now open the call for questions. Rob, please go ahead.
Operator: Thank you. At this time, we'll be conducting a question and answer session. You may press star two if you'd like to remove your question from the queue. My first question comes from Marc Riddick with Sidoti and Company. Please proceed with your question.
Marc Riddick: Hey, good morning.
Paul Maleh: Hey. Good morning, Marc.
Marc Riddick: So I wanted to touch on a few things. First of all, thanks for all the detail provided in the prepared remarks and the materials as well. I just wanted to sort of get into a little bit the thoughts around the high utilization level that you experienced in the fourth quarter, and how you're thinking about that going forward and particularly maybe how that might play into headcount expectations for 2025.
Paul Maleh: Sure. We are constantly trying to match the supply of demand supply and the demand for our services. So that's not a 2024 phenomenon. In 2024, we took an action to try to correct what we saw as some excess in some parts of the business, and that doesn't mean that there was an overall staff reduction across the portfolio. These are targeted actions meant to get the most benefit from the hard work of my colleagues in their revenue generation. So I wanted to put that out there. The other thing that we've seen in the past few years, legal and regulatory is growing at a faster rate than our management consulting services. The reason that is relevant is legal and regulatory operates at a higher utilization point than management consulting on average. So if legal and regulatory is making up a larger part of the portfolio, utilization that we report will inch up. So part of it is we had a busy Q4. Absolutely. But the other part of the 78% is just that legal and regulatory is just making up a larger piece of the portfolio. Thus, you see a natural increase in that percentage. Going forward, you know, again, when I think of medium to long term, headcount growth should roughly be equal to revenue growth. That hasn't changed. I still think that is the key driver to our growth. In the short run, you get impacts from any kind of market disruptions, and any impact on any kind of optimization actions that we may take.
Marc Riddick: Okay. I appreciate that. Thank you. Was wondering if you could talk a little bit about, I mean, it's, I guess, a standard question, but wondering if you could speak to maybe any thoughts or anything that you've seen thus far with the new administration, if there's any particular areas that you've seen move one way or another over the last several weeks that maybe we should be aware of.
Paul Maleh: Sure. I think it's too early to call. Clearly, what are we? Six weeks or less into the new year, even less into the new administration. So I think myself, a lot of market observers, are trying to see where we get some clarity as to what is the underlying objective of many of these actions. As an example, we saw that M&A transactions in the month of January were at almost a ten-year low for that month. That is not the broader expectations in the market. So I don't think that's necessarily a new expectation point. I just think we're all trying to see where the administration's objectives shake out here.
Marc Riddick: Okay. And then one of the things that sort of caught my eye was the commentary around the, obviously, broad-based areas of growth. But I was sort of curious as to if there was any particular timing aspect or whether or not the gains that you show were consistent throughout the fourth quarter or if there was any sort of pickup at the very end of the quarter?
Paul Maleh: All of Q4 was a strong quarter. Right? I can't say that we started off weak in October and it gradually picked up. I think we had a strong December on that front, but it wasn't markedly different than the rate that we observed in October and November.
Marc Riddick: Okay. Great. Thank you very much.
Paul Maleh: Thank you, Marc.
Operator: Our next question comes from Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke: Good morning, everyone.
Paul Maleh: Good morning, Kevin.
Kevin Steinke: Hey. I want to start out by asking about the outlook for 2025. A solid outlook for revenue growth in 2025, and just wondering how maybe you're thinking about your various practices contributing to that outlook, specifically some of the larger practices like antitrust and competition economics and life sciences, which I note that you called out that life sciences grew in the fourth quarter. So just wondering how the various practices are contributing to the buildup to 2025 guidance.
Paul Maleh: Sure. Well, thank you for noticing that the guidance provided for 2025 is rather strong. I think it's rather strong for a few reasons. One, we're not basing that on easy comparables. We're talking about a fiscal 2024 that topped all-time highs across the board, whether it's on revenue, whether it's on profitability, and also the broad-based contributions of the entire portfolio. So that's a hard thing to build on. And we think the portfolio provides us the opportunity for really solid growth and profitable growth at that. I really would like to see practices other than competition because they've just been a steady contributor and an exceptional contributor quarter after quarter, year after year. They are the best entity in the marketplace. I would love to see the other parts of that portfolio try to close the gap on those growth rates and competition. And it's only one quarter, we started seeing that in Q4. Right? Competition didn't grow double digits in Q4, but they still grew 5-6%. And that's pretty hard to do when you're delivering all-time highs quarter after quarter. So I would love to see the other at a little faster rate. That's embedded in that forecast. And I would love to see the growth opportunities that we have resident in life sciences and in the energy practice come to fruition.
Kevin Steinke: Okay. Thank you for the comments there. And in terms of the margin guidance for fiscal 2025, non-GAAP EBITDA margin guidance of 12.0% to 13.0%, comparing to, I believe, 13.2% in fiscal 2024. Maybe just talk about the puts and takes there that you're thinking about as you formulated that margin outlook for 2025?
Paul Maleh: Sure. What I'm excited about on the profit margin is that we have been making gains on our rate of profitability over the last handful of years. And anytime you make these kinds of large gains, my biggest concern is are you going to give any of it back? It has a lot to do with your cost management, but it also has a lot to do with the composition of your portfolio. Because sometimes growth comes at the cost of lower profits. Growth in revenue comes at the cost of lower profits. So the fact that we've been able to drive the kind of revenue growth rates that we've delivered and at the same time continuing to deliver all-time highs on dollar profits and rates of profit I feel pretty good about. And what we put forth for guidance in 2025 is roughly the same guidance range that we put forth at the beginning of the year or at the last guidance range, the update of 2024. So I'm not planning to give it back. Whether we are ready to take a step above the 13% threshold that we achieved in 2024, I'm not ready to take that leap, but I feel pretty good about the profit-generating capacity of our company.
Kevin Steinke: Okay. Good. And I know it was asked earlier just about in relation to the Trump administration and regulatory enforcement, but it wouldn't appear to be the case from the fourth quarter results and the 2025 outlook, but yeah, just some of the ongoing shifts in the landscape in terms of tariffs, etcetera. Are you seeing any that create any sort of hesitance among customers to move forward or, you know, what's if you picked any of that up, I guess, from clients with the business as usual?
Paul Maleh: Again, I think it's a little too early to declare defeat or declare victory. Clearly, I looked a little carefully when I saw the M&A statistics for the month of January. They were pretty low. But, again, overall, like expectations in the marketplace of that pickup. Usually, uncertainty will delay expenditures. We've seen that happen before. I haven't experienced that to date. Again, I'm only, you know, about a month into the new administration. And only about six weeks into the new year. So I don't know what direction we're going to go into with respect to government impact on the economy for the quarters ahead.
Kevin Steinke: Okay. Fair enough. And, you know, as we again, just following up on utilization, as that legal and regulatory piece of the business continues to grow faster. I mean, you know, should we still think about mid-seventies as the appropriate utilization rate? Could it be a bit higher? You know, how do you think about that as you...
Paul Maleh: Yeah. I think we definitely have the opportunity to go a little higher than the mid-seventies. Again, I'm not you always don't want to start a trend on one or two data points in terms of the quarterly results that we enjoyed during fiscal 2024. But that opportunity definitely exists. What are the potential risks outside of the overall demand environment? One possibility, and that's why I'm not ready to change that overall target of mid-seventies, is I really hope life sciences and management consulting start to grow at faster rates going forward. Right? Things aren't linear. Legal and regulatory doesn't always grow at the same pace as management consulting. They alternate. So I would gladly take a pickup in the growth rate of management consulting relative to litigation services and have utilization drop a couple of basis points.
Kevin Steinke: Okay. And then lastly, just can you discuss just the overall market for talent for CRA International, Inc., and your continuing ability to attract talent and what, you know, what the pipeline looks like? Is it still relatively soft in terms of, you know, the junior consultant side, in terms of, you know, being able to bring in people there and, you know, what's the senior talent pipeline look like as well?
Paul Maleh: Sure. So I will try to break it up into two buckets, where I will call more of our consultants that help on the delivery of the services and those consultants that help on the revenue generation of the portfolio. On the delivery of the services, yes, we are still seeing very strong retention rates across the portfolio. So I think that means that we may have turnover at lower levels, say, relative to historical norms. So that means it's going to be a buyer's market, it also means you need to hire wisely in terms of placing that capacity in the right places, and you also need to always test whether the staff can be fungible and used across your services. So I'm feeling pretty good on the delivery capacity aspect. On the revenue-generating capacity, as I know, it's not news to you or anyone. There's a lot of disruption happening in our marketplace right now, particularly in and around the services of legal regulatory. You play the dual role of trying to provide an attractive home for your existing colleagues and also trying to communicate why that environment is great for prospective lateral hires. We're doing both. We're doing both. And the goal, at the end of the year, is to be a net positive on that pursuit. So, you know, I think there are great opportunities. Our pipeline of opportunities is rather full. But having great staff also means that other firms are doing their best to try to recruit them to their organization.
Kevin Steinke: Alright. Well, again, congratulations on the strong fourth quarter results. I'll turn it back over.
Paul Maleh: Thank you, Kevin.
Operator: Our next question comes from Andrew Nicholas with William Blair. Please proceed with your question.
Andrew Nicholas: Hi. Good morning. Thank you for taking my question.
Paul Maleh: Hey. Good morning, Andrew.
Andrew Nicholas: Yeah. Good morning, Paul. I wanted to pull up the thread of that last response a little bit more. Sure. Obviously, quite a bit of news here this week. A competitor of yours has also talked quite a bit about some of the changes going on with the antitrust and competition economics or the market broadly here to start the year. Can you talk a little bit about what you're expecting for your antitrust retention in particular, how much are you baking that into your outlook for 2025? And is there potential downside to that outlook if there's net outflows, if you will, as opposed to the net positive dynamic that you're targeting?
Paul Maleh: Yeah. So what we've incorporated into the outlook, Andrew, are things that we know about at this point in time. I haven't done any kind of probability adjustment of where I'm going to be net-net by the end of the year. If our track record is any indication, I think we're going to be a net positive, but we've got some work to do. Like I said, both on the retention of our legacy colleagues and also the recruitment of laterals there. So a lot more to come in the months ahead. I was told long ago when I thought I was going to get a raise from my boss, and I said, you know, I got a call from a competitor and I thought he was going to be throwing money at me. And the comment I got back said, Paul, I'm going to be much more concerned when you're not getting calls from competitors. And that has always stuck with me. Accumulating the kind of colleagues that we have at CRA means that every competitor, including this spin-off, you know, are going to look to CRA to try to bolster their portfolio. That's not a surprise. It's not a surprise. Is it exhausting? Absolutely. But what you want to try to do is use your strength in the market to, at the end of the day, be a net positive from the disruption that's being created right now. But my guidance range includes my best expectations as of this time.
Andrew Nicholas: And that's super helpful. I think a great way to frame it. And maybe just a related follow-up. Is that same expectation or your best guess does that also reflect some increased count to keep people if some of that talent maybe takes a similar approach to one in your example?
Paul Maleh: Yes. But just to put a bow on my response to that, it does result, surprise surprise, when there's competition for talent. Usually, the employees benefit from that, from higher wages, and that is happening. I think that is happening at CRA and across many of our competitors. The margin range that I put forth incorporates, again, to the best of my knowledge, all of those new comp arrangements and comp expectations.
Andrew Nicholas: Very helpful. Thanks, Paul.
Paul Maleh: Thank you, Andrew.
Operator: We have reached the end of the question and answer session. I will now turn the call back over to Mr. Maleh for any closing or additional comments.
Paul Maleh: Again, thanks to everyone for joining us today. Appreciate your time and interest in CRA. We will be participating in virtual meetings with investors in the coming months, and we look forward to updating you on our progress on our first quarter call. This concludes today's call. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.